Operator: Good afternoon. I would like to welcome everyone to REPAY's First Quarter 2025 Earnings Conference Call. This call is being recorded today, May 12, 2025. I'd like to turn the session over to Stewart Grisante, Head of Investor Relations at REPAY. Stewart, you may begin.
Stewart Grisante: Thank you. Good afternoon and welcome to REPAY's First Quarter 2025 Earnings Conference Call. With us today are John Morris, Co-Founder and Chief Executive Officer; Tim Murphy, Chief Financial Officer; Thomas Sullivan, Chief Accounting Officer and Interim CFO; and Damian Warner, Vice President of Corporate Development and Strategic Partnerships. During this call, we will be making forward-looking statements about our beliefs and estimates regarding future events and results. Those forward-looking statements are subject to risks and uncertainties including those set forth in the SEC filings related to today's results and our most recent Form 10-K. Actual results may differ materially from any forward-looking statements that we make today. Forward-looking statements speak only as of today and we do not assume any obligation or intend to update them except as required by law. In an effort to provide additional information to investors, today's discussion will also reference certain non-GAAP financial measures. Reconciliations and other explanations of those non-GAAP financial measures can be found in today's press release and in the earnings supplement each of which are available on the company's IR site. With that, I will now turn the call over to John.
John Morris: Thanks Stewart and good afternoon everyone. Thank you for joining us today. On today's call, we will address several topics including an overview of REPAY's core performance and highlights for Q1 2025, the conclusion of our strategic review process, an update to our capital allocation strategy, an update on our 2025 financial outlook and a farewell to Tim Murphy, REPAY's CFO. First, let's turn to Q1. Throughout the quarter, REPAY remained focused on executing on our core growth, which continues to reinforce the ongoing secular tailwinds and resiliency of our business model. Our reported growth was impacted from the previously communicated client losses during 2024. REPAY showed steady gross profit growth when excluding these clients and maintained strong adjusted EBITDA margins of 43% during Q1. Reported gross profit and adjusted EBITDA declined approximately 5% and 7% year-over-year, respectively. Reported free cash flow conversion was also impacted from the client losses and one-time net working capital impacts. When removing these impacts, Q1 2025 free cash flow conversion would have been similar to Q1, 2024 free cash flow conversion rate of 38%. While we do not believe these reported Q1 growth rates represent the underlying business trends, the core growth strategy remains intact and underscores our ongoing commitment to executing towards profitable growth, optimizing payment flows and enhancing operational efficiency, all while driving long-term value to our shareholders. We are starting to see positive impacts from our investments in our enterprise sales and customer support teams. We continue to be encouraged by the healthy sales pipeline with enterprise clients across segments, while also working on implementation time lines. We do expect the positive trends to be reflected in our reported growth in the second half of 2025. Beginning with this Consumer Payments segment, our core growth algorithm benefited from contribution from existing clients and new client wins over recent quarters. During Q1, we continued to see the signs of core consumer bookings growth year-over-year giving us confidence in executing on our go-to-market client implementations and product initiatives, as well as recent client wins accelerating growth later in the year. Economic unpredictability has increased since March, due to several still changing variables. While our value proposition and business model of providing a one-stop technology platform and digital experience across our diversified client base and verticals remains unchanged, these factors could lead to potential near-term impacts from consumer spending amid this ongoing uncertainty. Year-to-date, we have seen resiliency with nondiscretionary consumer spending ahead of possible tariff-driven inflation. However, during these uncertain times, our clients increasingly seek robust payment capabilities. REPAY serves as their comprehensive platform to streamline payment processes, while providing value-added services that strengthen their market position. Within consumer payments, we signed two new software partnerships during the quarter, further enhancing our existing relationships and bringing our total software partners to 182. Our go-to-market and consumer support teams utilize these integrations to develop a robust sales pipeline and elevate the overall client experience. We onboarded several new clients to our platform in Q1 including 14 new credit unions, increasing our total credit union client base to 343, out of approximately 5,000 across the US. Our Payment technology which is seamlessly integrated into multiple core financial institution and credit union software systems continues to generate a strong sales pipeline targeting thousands of regional financial institutions nationwide. We're also working on ways to enhance existing integrations and partnerships with credit union and financial institutions, leading to optimize loan operations by simplifying accounting and consumer payment processes, securing new payment flows and fostering deeper client relationships. In addition, REPAY clearing and settlement sales and implementation pipeline is expanding from the tech investments and product enhancements we made on our back-end processing platform. During Q1, we signed a leading POS software platform that serves thousands of independent retailers across the US and Canada. We're excited to provide this large enterprise client with our best-in-class clearing and settlement platform, allowing their retailers to seamlessly manage their operations in one complete retail software ecosystem. In value-added services, our Instant Funding product achieved healthy growth in Q1 with transaction volumes rising approximately 19% year-over-year. Clients in the personal lending vertical rely on this product to distinguish themselves by offering rapid and convenient, secure funding options for their customers. Over the medium-term, we view Instant Funding as a potential revenue enhancer, as we assess opportunities to expand its capabilities in additional verticals, which we believe could further bolster our growth profile. Our consumer payments momentum saw similar trends in Q1 as it did in Q4 including the six points of full quarter impact of the previously mentioned clients rolling off our platform. Nevertheless, we remain focused on building our enterprise sales teams, enhancing client experiences, a priority that strengthens retention and creates opportunity for additional value-added services with existing clients. This disciplined approach continues to fortify the core consumer payments growth algorithm at REPAY, as we progress through 2025. Now turning to Business Payments segment. Our reported gross profit increased approximately 7% year-over-year. When excluding the impact of the political media during Q1 2024, gross profit would have increased by approximately 12% year-over-year. This also includes approximately 12 points of client loss headwinds during the quarter. The solid growth acceleration in Q1 was driven by strength in our core accounts payable business, the ramp of new enterprise clients signed in recent quarters and payment monetization initiatives like expanding enhanced ACH and float income. Our sales teams are capitalizing on our 101-plus software partnerships and integrations by building enterprise relationships and thus expanding our client pipeline. By aligning these partnerships with our go-to-market strategy we're improving normalized bookings growth while increasing our supplier network 40% year-over-year to approximately 390,000 suppliers. Looking ahead for Business Payments, we maintain strong confidence in our overall sales pipeline. Our go-to-market approach continues to expand our software partnerships and enterprise client base, while additional monetization efforts within TotalPay position us for accelerated growth in the second half of 2025 and into 2026. Now moving on to the next set of topics related to the conclusion of the strategic review process. On our previous earnings call, the company and the Board announced the commencement of a comprehensive strategic review to assess a full range of strategic alternatives aimed at capturing shareholder value. We have been committed to our core values of profitable growth and improving cash flow generation while also being disciplined on M&A and capital allocation. The company has a strong balance sheet, solid cash flow generation and ample liquidity, providing financial flexibility to pursue a range of strategic and capital allocation priorities. However, since making this announcement in March, the market and macro environment have drastically changed. In light of the prevailing macro uncertainty, the Board has decided to conclude the strategic review process at this time. We believe that additional investment in our organic growth will yield the best possible result for REPAY and its shareholders, generating returns above what would be possible in other alternative outcomes. As part of the conclusion of the review, we wanted to share some of the operational priorities that we have solidified resulting from an in-depth market and go-to-market assessment we conducted with a highly reputable strategic consulting firm. One, we will be enhancing our direct sales model, which practically means allocating more resources to our sales teams and targeting a list of specific logos in our core growth verticals. Two, we will be capitalizing on more monetization opportunities including targeting non-card payment volumes. And three, we will be building more indirect partnership channels in both Consumer and Business Payments segments. While the past few quarters have been challenging, we believe with additional investments towards organic growth, combined with priority initiatives, the second half of 2025 will begin to display growth acceleration, leading to strong momentum in our Q4 2025 gross profit exit rate. Next, I'd like to address our 2025 financial outlook. As I just discussed, we have confidence in our ability to invest organically in the business and produce results that generate value to our shareholders. We believe that the initiatives that resulted from our strategic review, combined with our ongoing growth efforts, will deliver sequential quarterly normalized gross profit growth, resulting in a fourth-quarter growth rate of high single-digit to low double-digit growth, as well as free cash flow conversion exceeding 50% in the second quarter and accelerating above 60% by year-end when excluding one-time net working capital impacts. We have conviction in our path back to profitable growth and our team's capability to do so. As we progress through 2025, REPAY is strongly positioned to leverage the secular shift to digital payments, utilizing our scalable platform and 283-plus software partnerships to drive profitable growth and free cash flow generation. Our commitment remains focused on creating value for our shareholders both through operational excellence and future capital allocation initiatives. As we move forward, our capital allocation priorities include continued and incremental organic growth investments, to continue managing CapEx as a percent of revenue, while maintaining prudent investments towards technology and products, repurchasing shares when we believe our share price is disconnected from our long-term intrinsic value. Today, we announced that our Board of Directors increased the authorization of share repurchase program to $75 million, maintain a strong balance sheet with ample liquidity and cash generation through 2025 to address the 2026 convertible notes. Additionally, we continue to be open to accretive strategic tuck-in M&A to further accelerate REPAY's position and growth potential. Before turning the call over to Tim, I want to be the first to express REPAY's heartfelt gratitude to Tim Murphy, our Chief Financial Officer, as he will be stepping down from his role in a few days. I was incredibly grateful to have Tim, by my side for the past 11 years, as he was REPAY's first CFO and helped guide REPAY through many important milestones and successes during his tenure. From all of us at REPAY, we wish Tim, all the best in his next chapter. Since making the announcement, Tim has helped facilitate a smooth transition to Thomas Sullivan, who has been appointed as an Interim Chief Financial Officer, as we undergo the process of finding a permanent replacement to lead our financial organization. With that, I'll turn it over to Tim to review our Q1 financials. Tim?
Tim Murphy: Thank you, John, for the kind words. These past 11 years have been truly special for me. I'm thankful for being part of REPAY's journey as the company's first CFO, helping transform the business over the course of 11 acquisitions and also elevating the organization to being a public company. I look forward to watching REPAY continue to grow and expand its vital role in the payment ecosystem. Now, let's go over our financial results for Q1 2025. In the first quarter of 2025, revenue was $77.3 million, representing a decrease of 4% year-over-year. Reported gross profit declined by 5% year-over-year. Consumer Payments segment gross profit declined by 5% during Q1, while our Business Payments segment reported gross profit increased 7% year-over-year. When excluding the political media contributions in Q1 2024, Business Payments gross profit growth accelerated to approximately 12% during Q1 2025, demonstrating the ramp in our partnerships and sales pipeline. As John mentioned, REPAY's reported gross profit growth was impacted by select client losses and the strategic technology migration of targeted business payment volumes to our TotalPay solution. When excluding these impacts, reported gross profit growth would have been low single digits in Q1. Our core growth remains resilient, and we are starting to benefit from ongoing go-to-market and customer support investments and from additional monetization opportunities across our segments. In addition, our Q1 results benefited from the annual tax refund seasonality. Q1 adjusted EBITDA was $33.2 million, representing approximately 43% adjusted EBITDA margins. This demonstrates our disciplined approach to managing operating expenses, while still being able to invest towards our sales, implementation, and client service teams across the company. First quarter adjusted net income was $20.3 million, or $0.22 per share. Reported Q1 Free Cash Flow was negative $8 million. Reported Q1 free cash flow and free cash flow conversion were negatively impacted by approximately $16 million due to reversal and timing related to net working capital, and by approximately $3 million due to the previously mentioned client losses. When excluding these impacts Q1 free cash flow conversion would have been similar to the free cash flow conversion metric of approximately 38% in Q1 2024. As a reminder, our 2025 free cash flow conversion is expected to follow a similar quarterly cadence of 2024, and is expected to accelerate to above 60% by the end of 2025. As of March 31, we had approximately $165 million of cash on the balance sheet with access to $250 million of undrawn revolver capacity, for a total liquidity amount of $415 million. During Q1, we made an approximate $16 million payment related to the tax receivable agreement or TRA. We are expecting to make annual TRA payments on a go-forward basis, when we pay sufficient taxable income. Exiting the quarter, REPAY's net leverage is approximately 2.5 times. Total outstanding debt of $507.5 million is comprised of a $220 million, convertible note due in February 2026, with a 0% coupon and a $287.5 million convertible note due in 2029, with a 2.875% coupon. Net leverage will naturally benefit as REPAY, continues to execute towards profitable growth and cash flow generation during 2025, while also applying a balanced approach to capital allocation. I'll now turn the call back over to the operator to take your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Ramsey El-Assal with Barclays. Please proceed.
John Coffey: Hi. This is John Coffey on for Ramsey. Thanks for taking my questions. I was wondering just to begin with can you provide some additional color on what you're seeing in the consumer spending environment? I know, you talked about this a little bit in some of your prepared remarks. In particular I was wondering, what's the -- how would you view the top of the funnel from a credit perspective?
John Morris: Hi, John, this is John. Good afternoon. Yeah, as I mentioned earlier, from an overall market perspective at least as it pertains to our clients year-to-date we've seen resiliency in the nondiscretionary consumer spending. So from a market perspective, our perspective we're not seeing any major impact from overall payment processing as it relates to kind of the macro associated with the consumer.
John Coffey: Okay. Great. Thank you. And I just have one follow-up. Given your increased buyback authorization of $25 million, do you plan to continue leaning into this rather than M&A?
John Morris: Yeah. So we -- as I also mentioned earlier as well, when we believe that our share price is disconnected from our overall long-term intrinsic value, we will opportunistically repurchase shares. So when we see that and we believe that is happening we have our convictions around that.
Tim Murphy: And I'll add to that, the capital allocation priorities we mentioned would be still focused on organic growth. And then, we would look to execute on the buybacks for the reasons John just mentioned, and then provide ourselves with enough liquidity to address the $220 million, convertible coming due in 2026. And then I would say that, tuck-in M&A would be after those other priorities.
John Coffey: Perfect. Thank you very much.
Operator: Thank you. Our next question comes from the line of Sanjay Sakhrani with KBW.
Sanjay Sakhrani: Thank you. Congratulations, Tim, and good luck. John, you mentioned the evolving macro view as a reason for concluding the strategic review process. Maybe you could just share with us how far you guys went down the process to actually see, if you could extract more value.
John Morris: Yeah, Sanjay. So we looked at the overall -- this is a collective Board decision in the strategic review. As you are aware, obviously, the markets have changed and the macro environment has changed since we announced in March. But ultimately, as we looked at everything, we looked at -- we believe that, the additional investment in organic growth, which will yield the best result for REPAY at this time for the shareholders. We think that, generates an above, what we think it will be possible with these other alternative outcomes. And as you heard me mention as well, we did conclude our in-depth dive into our organic -- additional organic investments, with an outside reputable firm. And we're actually -- we're in the process of adding those additional investments, which we think is a multiyear investment and also a multiyear opportunity to continue to accelerate growth.
Tim Murphy: And I would add to that with the investments, John is mentioning are not incremental to any of the forecast, we provided. They're included in the forecast we provided on free cash flow. So while we're executing on those, there's no incremental spend relative to what we've laid out for the -- in terms of the outlook.
Q – Sanjay Sakhrani: Okay. Got it. And then I appreciate sort of the forward view for 2025, on gross profit. Can you just help us think about like EBITDA growth trajectory over the course of 2025? And then just maybe as we think about 2024, maybe you could just give us Tim, like what the normalized gross profit dollars were excluding some of the political and media stuff.
Tim Murphy: Sure. So I would say, again, there's no incremental spend. So I would think the adjusted EBITDA growth would be similar -- follow a similar path, as the gross profit growth we described, just because we're expecting similar margins and there's nothing incremental to what I've already described. And then just in terms of the 2024 political media contribution, I would say that, to think about that is about four or five points of growth impact to full year 2025, which is normalized out in the growth rates we've mentioned.
Q – Sanjay Sakhrani: Okay. Wonderful. Thank you.
Operator: Thank you. Our next question comes from the line of Joseph Vafi with Canaccord Genuity. Please proceed.
Q – Joseph Vafi: Hi, guys. Good afternoon and congratulations and best of luck from me as well, Tim. Just wanted to kind of drill down on the comments on ending the strategic review, a little bit more and some of the additional investments for growth. Just kind of wondering was there kind of some aha moments there? Or was the consultants providing a certain kind of insight that perhaps you hadn't made those similar investments yourselves previously? Just want to kind of drill down on that, because I mean it sounds like you've got a lot of confidence in accelerating growth with some of these additional investments. And just wondering why – again, why you might not have done it before now. Thanks a lot.
John Morris: Yes, Joe, great question. Obviously, this is something that I've been doing this a while. And so I wanted a really outside third-party view to help me look at certain markets, and potentials for there. What it did confirm to us is the absolute market potential is there with four additional investments. And we should -- we have the opportunity to make those, and those will deliver a really great shareholder value. And so that's -- this opportunity just sitting right in front of us to just commit more dollars to investing there.
Q – Joseph Vafi: Got it. And is there any other insight, you can provide as to kind of what those markets are? Or that's kind of I guess a competitive aspect, and maybe we should wait for more from you on that once it's in place? Is that we should be thinking about.
John Morris: Yes, Joe, I'd say, in the immediate term that's specifically related to our existing verticals and markets, specifically in the consumer side and also there's opportunity on the B2B side. But then, if we look a few years out, there's other opportunities for us. But specifically for the immediate term here, near term is on existing verticals.
Tim Murphy: And I'd add to that, one of the items we're looking to confirm was just we've talked about going more enterprise sales in consumer, just really confirming the largest logos across each of the subverticals and finding ways to address those logos and being more efficient, with our go-to-market efforts and just generally having more success in terms of, winning those logos and then also implementing them faster. There's just a different implementation cycle with enterprise accounts. We've been doing that for a while now, but we wanted to hone that skill and that focus to get not only win them, but get them live faster.
Q – Joseph Vafi: Great. Thanks for all those comments. Best of luck, Tim.
Tim Murphy: Thank you.
Operator: Thank you. Our next question comes from the line of James Faucette with Morgan Stanley. Please proceed.
Shefali Tamaskar: This is Shefali Tamaskar on for James. Thank you for taking my question. Thanks for all the color on the quarter. I just wanted to see if you could speak to how the recent macro environment has potentially impacted some of your exposures, which you've talked about on past calls around auto affordability, personal lending trends. I want to hear about both what you were seeing in 1Q and also trends through April and May?
John Morris: Yes. So, like we said, our various end markets were resilient. Spending was resilient. These are largely nondiscretionary payments. And so they held up nicely through Q1 and I'd say the trends are similar into Q2, which again gave us confidence to discuss the free cash flow conversion acceleration in Q2 specifically. And so the trends have held up nicely. Nothing, I don't think materially different from what we talked about on prior calls. And -- but it is certainly -- we're paying close attention to it, particularly in the auto space, as we have been and trying to get out there and speak to our clients and understand what they're seeing to try to gain visibility. But nothing we've seen through Q1, nothing we've seen in the early part of Q2 yet in terms of different dynamics.
Shefali Tamaskar: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Alex Neumann with Stephens. Please proceed.
Alex Neumann: Hi, thanks for taking my question here. Just on top of that, could you discuss any underwriting trends that you're seeing within the consumer end market that you've observed recently? And what kind of impact do you expect those trends to have on overall volume and penetration rates?
John Morris: Yes. I would obviously reiterate Tim's comments. We're not seeing specific trends that would change specifically from first quarter to second quarter, what we're seeing. We are monitoring, as Tim mentioned. But overall, I mean, you can also you look at what we're saying for our outlook, though, we do see it -- obviously, we see our growth accelerating that has a lot to do with new wins, implementations, lapping of some of those client losses. But as we round out the year and we push through the rest of this year, especially in the second half of the year, we see very positive things.
Alex Neumann: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Peter Heckmann with D.A. Davidson. Please proceed.
Peter Heckmann: Hi, good afternoon. I joined the call a little bit late, and I'm just trying to fill in some holes. But the client losses, can you remind us, is that three primary client losses with two consumer and one in business? Is that how we should be thinking about it? And if so, you said about a 600 basis point drag on consumer, but what would be the drag on overall revenue growth?
John Morris: Yes. So we mentioned the 600 basis points on consumer and then 12 points in Business Payments. And then what we said is if you excluded the client losses, our growth would have been low single digits.
Peter Heckmann: Okay. Great. And then in terms of the level of confidence looking at your guidance of sequential reacceleration of normalized gross profit growth. So, starting from a base of negative 4% in the first quarter, you're thinking you can get to high single-digit to low double-digit normalized gross profit growth in the fourth quarter. There's a lot of math there. Is there a way to kind of maybe narrow that range down a little bit and make sure that we're getting to the right spot? And does that -- does it ratably increase through the year? Or is the second quarter going to be relatively weaker and then we see a pickup in the third quarter, a little bit more so we can kind of triangulate it on a little closer to where we should be from a quarterly standpoint.
John Morris: Yes. So, as I said, if you stripped out the losses would be low single digits in Q1, so going from negative 4% to low single digits. I would think that would be a good estimate for Q2, somewhere in that range, slightly faster in Q3 and then ending the year, exiting high single-digit to low double-digit. You could, I guess, use the midpoint of that range is probably a good way to think about it. So it's not going further down in Q2 and then picking up a lot more in Q3 and even more in Q4, it's getting to a similar number as the low single digits for Q2 then a little bit higher than that in Q3 and the midpoint of low single digit to high single-digit for Q4.
Peter Heckmann: Okay. Okay. And then the timing of those customer losses if I remember correctly there was two -- two happened in the third quarter and one happened in the fourth quarter in terms of anniversarying them.
John Morris: I meant to say -- excuse me on the previous comment I meant to say midpoint of high single digit to low double-digit for Q4. And then yes there was one loss in Q3 and two in Q4 of last year.
Peter Heckmann: Okay. Thank you.
Operator: Thank you. [Operator Instructions] We have a question from Andrew Schmidt with Citi. Please proceed.
Andrew Schmidt: Hey, guys. Thanks for taking the question. Sorry, I hopped on a little bit late here. Maybe -- and I apologize if I missed in your remarks on the strategic review, but if you could just -- we've obviously seen some monetization of B2B assets this quarter. Can you just talk about kind of your inclination to kind of continue to expand and scale the B2B versus monetizing it? Anything you'd share in terms of prerogative there would be helpful. Thanks so much.
John Morris: Hi, Andrew, yes, as you're aware I have watched the B2B space for many years. I think this has many years of growth opportunity for us just a lot of white space. Our ability to profitably make investments there and grow that and what I see in our pipeline and what I see coming in the future we think there's some really great days ahead of us there as we drive and scale that business. And as we continue to invest as we said in these additional partnership channels we see a real winning formula around some things there. We think that will drive great shareholder value for us on the long-term at least as we look out in the immediate medium term here on how we drive investments there. We really like that part of our business.
Tim Murphy: I would add to that business payments performed nicely. As we said in Q1 it was 12% growth normalized. So we feel good about that. And there are a lot of investments we have been making particularly on the partnership side enterprise, software platforms where we're embedding payables. That's something we have been doing for a while now. We've increased our speed of implementation and then we're also winning some large individual clients and have had a lot of success in the hospital space. And you're starting to see that flow through the results here in Q1. So there is positive momentum there.
John Morris: If you add what we also said and Tim mentioned earlier our growth in that business segment despite the client loss in that space, the growth rate is actually on a normalized basis actually even better. So we think as we clear some of those things hopefully the world will see the quality of the investment.
Andrew Schmidt: That's helpful. And then again sorry if I missed this but I know last quarter you mentioned transition of the TotalPay solution some impacts there. Any impacts this quarter? Has that stabilized? Just curious where we are from that standpoint. Thanks so much.
Tim Murphy: It's largely stabilized. I mean what happened previously resulted in a few client losses that will flow through but there haven't been any incremental impacts related to that. And so the impact we called out on the -- previously was related to the loss of the client versus the migration. And so like John said the 12% normalized, we thought was pretty strong and then you include the loss of that individual client and that has led to very nice growth.
Andrew Schmidt: Got it. And then I think I'm last up here. If I could just ask about just the auto vertical, obviously, a lot of puts and takes there in terms of consumer health origination, obviously auto prices potentially. What are you seeing there in terms of just repayment volume health? What are you forecasting? Would love to get under the hood there. Thanks a lot guys.
John Morris: Yeah, Andrew, as we mentioned earlier, we still see it as nondiscretionary spending and there's still strength there. So we're not specifically seeing it on our client side specifically. There is the overall macro uncertainty of what may be happening with tariffs et cetera. But we don't see anything specifically right now and couldn't tell you that there would be something specifically as we're looking out.
Andrew Schmidt: Got it. Thanks John. Thanks for reiterating that. And Tim best of luck with the transition.
Tim Murphy: Thanks. I appreciate it.
Operator: Thank you. Our next question comes from the line of Timothy Chiodo with UBS. Please proceed.
Timothy Chiodo: Hey, thank you and I also just started off Tim thank you for everything over the years. Wish you the best definitely. All right. Great. Well, I want to hit it with an industry question if that's okay. So this topic of both merchants and platforms meaning ISVs software companies, et cetera going to more of a let's call it multiprocessor type of environment. I just want to see if you're picking up in your, I don't know what you're seeing with your ISVs that you work with, is that something that they're looking to do more of to the extent they were already doing that? My understanding is many were already integrated with more than one payments provider. But maybe you could talk a little bit about the number of payments processors that ISVs are looking to work with and whether or not that's changed much at all over the last call it three, five, 10 years?
John Morris: Yeah. Hi, Tim. So great question. If we look out at the market at the consolidation happening at the large processor level, I would tell you our opportunity there as you're aware we do prepaid clearing and settlement. We see and have seen opportunities coming to us that historically probably would maybe would not have. So we see maybe what you're thinking and what you're saying there of multiprocessor potentially. But we also see with some of that disruption in the marketplace that should be a really good opportunity for us. We will be very selective but yet we are partnered with some really strong strategic processors or ISOs in the marketplace as we continue to build our pipeline there as I mentioned earlier in the call as well we just won a large ISV this past quarter. And so we think there's great opportunity for us as we are selective on how we want to build out with our partners there. We have about 30 of those today and we see more opportunities out there, especially if you look at the whole ISV embedded partnership lots of niche opportunities for those specific partners that we would use that we would process for.
Tim Murphy: In terms of ISVs and utilizing payment processors, I don't think there's really been much of a change, in our particular verticals, they typically have two or maybe three payment providers and we're often the preferred provider. So there's not necessarily exclusivity but we're typically in the preferred position, because we've had the relationship for the longest and we have more domain expertise in that end market. So I don't think that's really changed much. These aren't shopping cart environments or marketplace environments where there's half dozen or 10 payment providers you can choose from. It's usually a small group.
John Morris: Yes. Tim, what I was referring to is really the overall processing clearing and settlement world my comments Tim made a great point for our 283 partners out there. We're not seeing a huge -- any kind of disruption associated with that on our side. Actually, we're seeing more enterprise software coming to us because of our ability to fully do the whole AR and the AP side of the world. So we think we're in a pretty good position when it comes to that. Our overall payment expertise as well as our embedded software expertise is a great value added for those who are coming to possibly partner with us on some things there. And then I'll remind you as well, specifically in our core consumer verticals, we do a total payment modality solution. So it's not just a card-based total solution. It's all the way from our instant funding of funding the transactions potentially to the debit side of the world whether it be an ACH or debit card or even some of the other features and functionalities on an omnichannel perspective. So, a lot of technology fintech embedded capabilities there.
Timothy Chiodo: Excellent. John, Tim and team, thank you again.
John Morris: Absolutely. Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to pass the call over to John for any closing remarks.
End of Q&A:
John Morris: Thank you, everyone and thank you for your time today. Tim, thank you again, for a great 11 years. We discussed many topics today on our call. The key areas of accelerating organic growth and our focus on creating value for our shareholders through our capital allocation initiatives, we will continue to execute towards profitable growth and strong free cash flow generation along the way and we look forward to demonstrating the growth acceleration in the second half of the year and beyond. Thank you again for your time.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.